Operator: [Spanish] Good morning, ladies and gentlemen, and welcome to the presentation of Enagás earnings for the first 9 months of 2012. Figures were released this morning before the opening bell and they are available on our website, www.enagas.es. Mr. Antonio Llardén, Chairman of Enagás, will host the presentation. We expect it to last about half an hour and afterwards we will have a Q&A session that we will try to answer as quickly as possible. Thank you very much for your attention, and I will now hand the floor to Mr. Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you very much for joining us today. Today, we are presenting our earnings for the first 9 months of 2012, despite the complex economic and financial environment, results remained positive and also in line with our targets at the very beginning of the year. These results shown in the preliminary presentation accompanying this conference call will allow us to meet our guidance for the year. I will briefly describe the most important headline figures. EBITDA grew 4.4% compared to the first 9 months of 2011, reaching EUR 683.5 million. This increase was due mainly to growth in the company's asset base over the past year. And here, I would like to point out that operating expenses rose just 0.9% in like-for-like terms in the period. Net profit amounted to EUR 281.4 million, a year-on-year increase of 3.9%.
 Such increase is still above our target for the full year although it is less than in the first half. As we approach the end of the year, results will become more comparable with those in 2011. By the second half of last year, we started to take into account Gaviota and Altamira facilities in our results. All these leads us to maintain our present target of flat net profit growth in the full year 2012. 
 We have invested EUR 647.9 million. Brought into operation assets was EUR 895.3 million. Both figures are well above the guidance we released at the beginning of the year largely due to the investment in the natural gas plant in Quintero and also the start up of the Yela underground storage facility in Guadalajara. These facility, which began operations in August, is key to ensuring the security of the Spanish gas supply system. 
 We are now into the fourth quarter and I would like to review the main guidance for this year. First, EBITDA growth of around 8%. Perhaps, at the end of the year, this will be below 8% due to the consolidation of Naturgas Transporte which will not take place until January 2013 due to the time we need to acquire all of the necessary authorizations and permits. Second, we are set to achieve a similar net profit to the 2011 figure. At the end of September, we are still below this target but we can still have -- our average cost of debt could rise slightly during the last quarter and we better prefer to remain cautious leave our target unchanged from the 2011 figure. In any case, this is in line with our 2010, 2014 business plan. Third, dividend growth of around 8% is our -- this is our goal and we are on target to meet this goal. And finally, in terms of investments, we committed to investing EUR 550 million, bringing assets towards EUR 750 million onstream. And as you can see, we reached these figures in this quarter. 
 Now regarding Enagás financial position, this remains one of the company's strength and here we'd like to highlight a few figures. Net financial debt at September 30 was EUR 3.418 billion. To date, we've increased the percentage of fixed rate debt to 86%. In terms of and on types of available financing, Enagás has liquidity of EUR 2.6 billion, including the EUR 750 million bond issue we made just after the end of the third quarter at the beginning of October. This will allow us to maintain high solvency ratios and continue to pursue our investment plan without jeopardizing our financial flexibility. This latest bond issue I just referred to was carried out under excellent payment at cost conditions, and we can now face the future secure in the knowledge that we have the necessary funds and are less subject to future risk in the credit market. 
 Furthermore, in the first 9 months of 2012, we pursued an active policy of renewing loans and racing new financing. We have already completed 100% of the plant renewals for the entire year. And we have amply exceeded these targets at the closing of the bond issues at the end of October. All these provides further proof of Enagás' sound financial position, allowing us to continue moving forward and towards our key strategic goals. 
 I would also like to point out that on the 5th of July, a final dividend was paid out of 2011 profit. The total 2011 profit or the total dividend was 18.5% higher than the 2010 dividend. And it goes in line with a 65% payout policy for the fiscal year 2011 that I announced at the conference call this time last year. I would like to remind you that for 2012, the Board of Directors agreed to raise the payout to 70%, and as I already mentioned, we expect to increase the dividend for 2012 by around 8%. One of the company's main cornerstone is to maintain shareholder trust and loyalty, and this means continuing to create shareholder value. This is the reason why we are working hard to continue increasing the dividend especially in this complicated financial and economic environment, tremendously complicated environment. 
 And I would like to briefly comment on the latest regulatory measures set down in Royal Decree 13/2012 of 30th of March and the Ministerial Order of the 26th of April. As we move forward to the end of the next year, I can confirm that these measures will help reduce the gas tariff deficits significantly, thanks to all these adjustments. And thanks to these, these small deficits, which arose in the -- at the end of 2011, is being resolved in the swiftest and most efficient manner. 
 Now with regards to demand evolution and also despite the adverse economic backdrop, conventional domestic demand, that is domestic commercial demand along with cogen and the industrial demand, rose by 6.3% in the first 9 months of the year. Our latest forecast point out to an increase in total demand for transmitted gas of around 1% in 2012, and with a total increase in conventional demand of between 5% to 6%. 
 Now finally, I would like to mention to the recent organizational and shareholder changes at Enagás. As you all know, in recent months, the company has successfully culminated its process of hive-down at subsidiaries and accreditation by the regulator in the EU, as an independent gas transmission system operator, here and after referred to as TSO. 
 Also as a consequence of the approval by the EU of the first gas directive, the free float of the company now at the end of October represents 85% of its capital, which is one of the highest levels on the Ibex 35 index. We are currently one of the companies on the Spanish continuous markets with the highest percentage of foreign investors, which represent around 75% of our share capital, and for us, this is a source of pride. 
 It is because of all these factors that Enagás' Board of Directors, at my proposal, resolved to appoint a new CEO, Mr. Marcelino Oreja Arburua. This appointment will help strengthen the company's management structure in its new capacity as a holding company and it's also in keeping with the most stringent international corporate governance recommendations. Mr. Marcelino Oreja, who is present at today's conference call and who has my full backing, has a proven professional track record, which is essential given the company's current situation. 
 In short, and in order to conclude, the 9 months earnings we have just presented give Enagás very good visibility for 2012. With these data, we realize that we are on track to meeting each and every one of our commitments and not only for this year, but also for 2013 and 2014. We've achieved this for the 6th year in a row. And all this is due to the enormous effort we've made -- we've done adapting ourselves to the terrible, difficult economic circumstances and also the recent regulatory measures. 
 I would also like to state that as I mentioned in our previous conference call, we will update our business plan accordingly in February 2013 at the time of the publication of the full year 2012 earnings. Thank you very much for your attention. If you now have any questions, please do ask now and we will endeavor to answer them as best we can, either myself or the rest of the Board of Directors. Thank you very much indeed. 
Unknown Executive: The interpreter apologizes but we are not receiving any sound in the booth.
 [Technical Difficulty] 
Operator: [Operator Instructions] 
  [Technical Difficulty] 
Pablo Cuadrado: [Spanish] Is that due to consolidation, asset consolidation? And last, but not least, regarding the underground storage facility put into operation, Yela specifically, one government proposal suggested increasing remuneration of these underground storage facilities or these type of assets, what do you think about this timing, when will these come into play? 
Antonio Llardén Carratalá: [Spanish] Yes, thank you very much indeed, Mr. Pablo Cuadrado. First and foremost, regarding these figures you asked about, the cash deficit. We think it is -- by the end of the year, it will be around EUR 170 million or EUR 180 million. Well, even EUR 200 million. So it is well below last year's target. And our intention is if these increases, the total increases are maintained in the coming years, such deficit could be easily covered and resolved. Now regarding the personal OpEx, this year we've covered all these expenses in La Gaviota storage facility. We're talking about 50 to 60 employees. And on top of that, when it's put into operation, we will include the employees in Yela. And that's why our labor costs are increasing -- OpEx cost. They are around 1% increase. And last but not the least, regarding this issue with the underground storage facilities, at the current moment, we are starting -- well, the Ministry is trying to conceive a new Ministerial Order foreseeing the adjustment of the retribution to these underground storage facilities linked to the expansion of the useful life that we foresaw at the beginning of the year. Hopefully, this will be approved by the end of the year around December 2012. The draft to the Ministerial draft is, as far as we are concerned, quite positive. At first, it is adjusting all of the financial and economic costs due to the current Spanish legislation and it is adapted to the useful life of these underground storage facilities. So as I said, at the end of this December, this new regulation will be approved by the government. 
Operator: Now next question will be done by Alberto Gandolfi by UBS. 
Alberto Gandolfi: I have 3 questions. I'll start with the last question,  it's a follow-up question on Pablo's comment. Now regarding the cash deficit, you're talking about EUR 200 million for 2012, aren't you? Can you briefly specify -- that's an annual figure but what is going to be the balance by the end of the year and how much corresponds to Enagás? Is it EUR 200 million? I just didn't understand this very well. Secondly, could you briefly talk about your CapEx outside of Spain, because you're constantly talking about EUR 150 million in opportunities, but it turns out that you're investing a little bit more of this figure. So can you talk about this figure? EUR 150 million every year. Shall we wait at the end of the year? February, for example. And in this concern, Italy thinking about an outstanding investment upgrade to become a [indiscernible]? Do you think that this will be done only by the local domestic operator, or do you foresee opportunities in other lands? And last but not the least, regarding regulation. The Minister has recently claimed that new regulation will follow suit but you didn't explain this very well. By the end of March, you talked about the net remuneration. In the short to medium term, given these new regulation, will this net rough figure remain the same taken into account existing and the new businesses? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Alberto. The cash deficit was around 300  last year, it will go down to EUR 170 million, EUR 80 million or even EUR 100 million this year, but this is for the whole system. So taking into the account all the system costs and also the collection that we expect to have based on demand. Now Enagás' proportion will be around 40% so perhaps, we're talking about EUR 70 million to EUR 80 million. So as I said, good news is the recent approved measures by the Ministry are having its fruits, very positive indeed. And hopefully, in the next 2 to 3 years if we maintain the current policy, which is a total increase policy, then this problem will be solved in the future. Now regarding CapEx, outside of Spain in reality, we shall refer to core business asset acquisition, okay? Assets that belong to third-party operators and as I said, we do not have much time to explain this policy at the moment. Hopefully, why don't we wait until the results presentation in February and then I'll give you an update on our business plan. So in general terms, we haven't modified anything really. We are paying attention to the current existing core business assets that fit in our business that do not stress out our debt policy, that do not increase our debt levels beyond our strategic plan, that can provide some recurring income, whose performance ratios are equal or isn't beyond the current assets ratios that we have at the moment. So no general changes in this respect. Perhaps, in February we can give you an update in this respect. Now regarding Italy, we've identified several measures by the Italian government. Apparently, the government is going to invest in the Italian territory in order to boost competitiveness and to create a hub in Europe, that being Italy. For the time being, we have no opinion in this respect. We do not know how these investments will be performed. We understand that the key operator will be our partner in Italy but we will have to wait and see until we receive further information about the Italian energy plan in order to know whether this is going to benefit our company and whether third-party investors will take place. So far, we have no opinion in this respect, as I said. Now regarding regulation, as I said, what the Minister has mentioned would always apply to the electric system. We have no news regarding the public administration thinking about new changes. So all remarks by the Minister focused on the electric system. A fortnight ago, the Minister in Parliament repeated that after the current gas reform regarding rates and tolls and so forth, well, for the next year, perhaps we will introduce some changes in the electric system trying to boost competitiveness. But always linked to the electric system. So therefore, we have -- there are no changes in our expectations regarding the gas system, and this is fairly reasonable as far as we are concerned because as you've seen during 2012, the main problems facing the energy system are heavily related to the electric deficit, the mix between renewable energies and other sources of energy. And last but not the least, we're talking about different technologies compared to the gas technology. So we are thinking about boosting more competitiveness in the electric system. However, the gas system is a very open system. More than 90% of consumed gas lays in the free, open market, tariff-free markets. Due to the technology and infrastructures of Enagás, our infrastructures facilitate the existence of competitiveness. And therefore, it doesn't look like, or at least we have no indication that this is a source of concern. 
Operator: [Spanish] The next question will be by Javier Suarez from Nomura. 
Javier Suarez Hernandez: My name is Javier Suarez from Nomura. I have 3, 4 questions as well. Some of them are follow-ups on my colleagues' questions. So first question is a follow-up on how much do tariffs, tolls need to go up. A reasonable increase could be affordable. Could you please specify what's a reasonable increase in the gas price to assume this increase, taking into account that in the last draft, in the last build, there is a green stand applied to gas that could have an impact on the tariffs. So could you please say what's reasonable? The second question is regarding the CapEx. Can you give us the figure for organic CapEx aside the purchase of Quintero? And also, do you see any type of risks in the organic CapEx of the company? Also, can you update us on the CapEx, whether the EUR 700 million investment in average per year, is that sustainable? Or do we need to update that figure somehow? Now one more question regarding CapEx. What's your capability of investment? Could you give us the definition in absolute terms? What's the investment capacity that the company's management sees for the company? And the last question regarding the timing on when the national infrastructure plan is going to be approved, when do you think the government will publish that report? I think that could be relevant to see what's needed to invest in infrastructures in Spain? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Mr. Javier. So first, the calculations we've made for a 4-year period would be the following:  with average yearly increases of tolls at 3%, at a sustainable 3%, it's perfectly doable. That said, you need to bear in mind that transportation and infrastructures represent less than 10% of the total gas cost, of the total gas bill. So out of that 10%, that plus minus more or less 3% does not have such a great impact. So fluctuations in the price of raw price -- of raw materials that we've seen in the last 2 years, for example, have a much higher impact on the final price of gas than the cost of infrastructures. Regarding the green scent [ph] we do not have more information than what is available on the bill draft that the Parliament is going to be discussing shortly. There has been some news in financial media saying that the government, the Ministry, is considering a reduction to -- of the green scent in gas consumption. If there is a reduction, of course, that it can always help. Now bear in mind that an important portion of gas consumption in Spain unlike other like European countries takes place in the industrial sector. And the price of gas in the industrial sector is a market price and the fluctuations to the price of the raw material are very important, much more than the overall infrastructure costs which do not represent an important share of the price. Now regarding the CapEx, the organic CapEx for the year is at around EUR 300 million, EUR 350 million. Regarding the prospect or outlook, I have 2 things to say. First, at the end of 2014, with the forecast we've done right now, we believe we will be able to meet our investment commitment from 2010, 2014 which was at around EUR 3.5 billion and that's where the EUR 700 million per year would come. The only difference is that with the EUR 3.5 billion, we will have abide by it due to certain acquisitions of third-party assets that are not part of the organic CapEx. Now the investment capacity of the company is going to be met easily and we will comply with our strategic plan as well. Now second idea, starting 2014, I believe organic CapEx needed by the gas system in Spain is well below the EUR 600 million, EUR 700 million average that the country has maintained in the last 6, 7 years. To know the -- to know it exactly, we will have to wait for the energy plan to be approved. Right now, we do not know what's the specific calendar the Ministry is setting. We believe it will be through the first semester, first half of the year of 2013, but we do have very detailed information regarding the needs of the system beyond 2014. As I see it, at least for a period of 4 or 5 years through 2017, 2018, the domestic needs of the gas system in terms of investments are well below the average we have kept up so far. So this leads me to my final point, and this will be further detailed when we introduce the update on the business plan. The #1 policy, the priority for Enagás starting then, and what we are doing already, in fact, is a very appealing retribution policy for shareholders. The gas system in Spain is much more mature than what we had in 2006, 2007 when we carried out our strategic plan. It was based on the energy plan enforced back then, the 2008 to 2016, which was an update on the 2002 to 2012 plan. But now the situation is different, we have carried out heavy investments in the last few years, and that's why I believe that starting 2014, the investment needs are going to be much lower. In any case, these are the facts and the situation that, well, we will be able to give you more information about in 2 months' time when we close the year and we can review the business plan and give you more visibility beyond 2014. 
Operator: The next question will be asked by Carolina Dores from Morgan Stanley. 
Carolina Dores: I have 2 questions. The first question is can you please update us on the acquisition of the Castor share? When are you going to execute it? And second question, between the end of 2012, beginning of 2013, what's refinancing do you need to do? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Ms. Carolina. Regarding Castor, our forecast in the strategic plan as we set out in 2010 that was set for 2013, that is next year. But the agreement that we have is that we have committed to buying 33% or up to a total of 50% of Castor when the public administration has finally set the regulatory values for CapEx and OpEx. If this happens through next year, that's when we will do it. If it happens later in 2014, we will purchase it in 2014. This is the exact answer for your question. Now regarding the refinancing process, for 2012, we do not have further refinancing needs through the first third -- 3 quarters, plus the bonds issued in the first half of October. We have achieved all our refinancing needs for the year. For 2013, total refinancing needs amounts to EUR 630 million, EUR 650 million and so that's why we are in a very good position. Because for 2013 and 2014, we have more than enough financing sources and we are well protected because of this from instability in financial markets, at least from the instability we've seen so far. 
Operator: The next question will be asked by Gonzalo Sánchez-Bordona from BPI. 
Gonzalo Sanchez-Bordona: I have a question regarding the hive-down of regulated assets, nonregulated assets due to the European directive. My question is, could this have an impact in the future when the CapEx is much lower? You can increase payouts to shareholders for non-organic investments. At that point, can this be a limit of some kind or the distribution of dividends to the holding company or is there some sort of regulatory limitation? 
Antonio Llardén Carratalá: [Spanish] Thank you very much, Mr. Gonzalo. So in principle, there are no regulatory limitations in this regard since the liberalization process of the energy industry took place in Spain, which is much more open in gas than in electricity in Spain. The rest of vertically integrated operators in the gas system have already done their hive-down process for regulatory, nonregulated businesses. In fact, Enagás has been one of the last to do so following the regulation. And the goal of the regulator is to know in detail that regulated businesses work well and that other nonregulated activities or businesses that take place in other countries are not having any impact on the good business of the regulated side of the business, which is what the regulators care about. So there are no limits in this regard. In fact, the accountancy is very clear, thanks to this process, and it's more peace of mind for the policy, the management policy and dividend payout policy of the company. But I insist, there are no regulatory limitations neither in our case, or in the case of other companies that have already done the hive-down process of their holding companies and subsidiaries. 
Unknown Executive: There are no more questions in Spanish. Let's move on to the questions in English. 
Operator: The first question comes from Olivier Van Doosselaere from Exane BNP Paribas. 
Olivier Van Doosselaere: This is Olivier Van Doosselaere from Exane. Just 2 questions remaining on my side. First question maybe a little difficult to estimate but I wonder if you believe that the impact of the green scent on gas consumption could have an impact on gas demands and what that impact potentially could be, and if that could then again start to arise in the gas tariff deficits? And the second question, I was wondering if you could maybe give an indication on what your expectations are on the full year impact on your earnings from the stake in Quintero? That's it. 
Antonio Llardén Carratalá: Well, thank you very much, Olivier. About the first question, my personal feeling is the possible increase of the final bill of the natural gas as a consequence of the green tax. My personal feeling is not important for the consumption. First of all, because in Spain, the domestic consumption is very stable. The total price of this tax in relationship with the total bill, it could be for the average of consumers, not very important. And in the case of the industrial consumption or the natural gas for electric generation, probably also the impact of this tax is not very, very important in relation with the total bill. Also, it is possible next year that the impact of the CO2 tax could be more important in the system, in the energy system in general, and then perhaps the electric generation by coal could be less important than in the year 2012. It could be a good news for combined cycle. In conclusion, I think this tax is not a very important item in the case of the consumption of natural gas in Spain. In the case of the -- well, in the second question, the impact of Quintero, well, this year, revenues, as you know very well, are not consolidated. Only we are -- with the consolidation we are talking about the net profit. In the case of the net profit this year, it could be very little because we are talking about only to incorporate the net profit for the last quarter and we are talking about EUR 1 million or EUR 2 million. The next year, logically, it could be a full year. And in this case, the consolidation of net profit could increase EUR 4 million, EUR 5 million, a quantity of this size. Well, thank you very much, Olivier. 
Operator: There are no more questions. Thank you. 
Antonio Llardén Carratalá: [Spanish]